Operator: Good morning, and welcome to the Signet Jewelers Third Quarter Fiscal 2026 Earnings Call. Please note this event is being recorded. Joining us on the call today are Rob Ballew, Senior Vice President of Investor Relations and Capital Markets, J.K. Symancyk, Chief Executive Officer, and Joan Hilson, Chief Operating and Financial Officer. At this time, I would like to turn the conference over to Rob. Please go ahead.
Rob Ballew: Good morning. Welcome to Signet Jewelers Third Quarter Fiscal 2026 Earnings Conference Call. During today's discussion, we will make certain forward-looking statements. Any statements that are not historical facts are subject to a number of risks and uncertainties. Actual results may differ materially. We urge you to read the risk factors, cautionary language, and other disclosures in our annual report on Form 10-Ks, quarterly reports on Form 10-Q, and current reports on Form 8-K. Except as required by law, we undertake no obligation to revise or publicly update forward-looking statements in light of new information or future events. During the call, we will discuss certain non-GAAP financial measures. For further discussion of the non-GAAP financial measures as well as the reconciliation of the non-GAAP financial measure to the most directly comparable GAAP measures, investors should review the news release we posted on our website at ir.signetjewelers.com. With that, I'll turn the call over to J.K.
J.K. Symancyk: Thanks, Rob, and good morning, everyone. I'd like to start the call this morning by thanking our team. Your efforts to date are delivering meaningful progress to this first year of Grow Brand Love, while driving near-term momentum in our performance. Thank you for your hard work and commitment to our customers as we enter our critical holiday season. There are three key takeaways I'd like to leave you with today. First, we delivered our third consecutive quarter of positive same-store sales and grew adjusted operating income double Q3 of last year. Second, our efforts to expand merchandise margin are delivering meaningful and sustainable results that have worked to drive operating margin expansion and offset pressure from tariffs and commodity pricing. Third, we believe we are well-positioned for the holiday season with a focused assortment aligned to key categories and price points supported by a modernized marketing approach. Turning to the quarter, we delivered 3% same-store sales growth to this time last year. Our three largest brands, Kay, Zales, and Jared, delivered a combined same-store sales performance of 6% to last year. That reflects our intentional focus on the core of our business with growth in both bridal and fashion categories. The results that we delivered this quarter are also a reflection of our brand equity work, assortment strategy, and a refined approach to pricing and promotion. Further, the reorganization under Grow Brand Love has empowered brand leaders to act swiftly on decisions that drive brand equity, fueled by a strengthened center of excellence that leverages our scale. Building on that, I'd like to highlight a few of the more significant in our Q3 results. Within merchandise, we delivered growth across all categories: bridal, fashion, and watches. This performance underscores the strength of our assortment architecture and ability to respond to evolving consumer preferences. In bridal, continued focus on differentiated offerings and strategic pricing resonated most for mid-tier consumers, with Kay, Zales, and Peoples all delivering high single-digit sales growth or better. This strong growth was led by long-standing brand collections, like Neil Lane, Dara Wang, and Monique. In fashion, Jared delivered 10% comp sales growth reflecting strong performance in diamond, gold, and men's jewelry bolstered by strength of recent collections like Italia de Oro. Alongside that, we continue to see runway in the fashion category, particularly in lab-grown diamonds or LGDs, which expanded penetration to 15% of fashion sales this quarter, roughly double last year's rate. In marketing this quarter, we are making progress on modernizing our playbook. This includes a more robust full-funnel media strategy, amplified social media and digital-first led content, as well as brand ambassadors like Antonia Gentry and Chloe Fineman to drive buzzworthy campaigns. We continue to see double-digit growth in impressions off a low to mid-single-digit increase in spend from this updated approach. At Jared, we're using story-led marketing to drive results. This quarter, Jared launched its storied diamond collection in partnership with De Beers. This collection uses blockchain technology to track a stone's journey from its origin in Botswana all the way to its final setting in Jared's collection. Alongside this, we premiered "A Diamond is Born," a documentary by Academy Award-winning Luc Chaquet. This documentary details the diamond's journey as well as the lives that it enhances along the way. We look forward to seeing the impact of this campaign over the holiday as early results are driving traffic. My second key takeaway today relates to our efforts to expand merchandise margin. Year to date, we have delivered 50 basis points on merchandise margin expansion with 80 basis points for Q3, despite a significant impact from tariffs and increases in gold costs. We have been carefully rolling out a refined pricing and promotion strategy. While this has included select price increases, it's a much more fulsome playbook. We are carefully turning the dials on how many days our brands are on promo, what items are eligible, and depth of discount, particularly periods where there is no preexisting consumer expectation for value shopping. Promotion can be an effective traffic driver, but overreliance on it can impact brand equity and ultimately leave money on the table. Brand equity also helps drive margin expansion. Jared is furthest along with its brand identity work and overall pricing and promo strategy, leading to 25% reduced discounting to Q3 last year. Lastly, our high-margin services business is also growing faster than merchandise and helping expand margins. It's the overall combination of these efforts driving year-to-date results despite pressure from tariffs and notable increases to gold costs. With regards to the current tariff landscape, and specifically India, we believe that we have mitigated a majority of the higher rates through strategic sourcing and the merchandise margin actions I've detailed, and will be the same levers we look to as we set our sights on the year ahead. Turning to the holiday season. Based on customer insight and preferences, as well as learnings from last holiday, we have taken a decisive inventory position in key gifting items at targeted price points. This strategy includes on-trend categories like LGD fashion, men's fashion, gold jewelry, and colored stones. For example, we've made a material investment in LGD fashion at price points below $1,000 compared to last holiday. We're also being strategic in our marketing spend this holiday. More than 70% of adults now stream as a primary way to watch video, so we continue to rebalance the channels we spend into in order to drive efficient reach. This work will be even more important as we navigate a period of lower US consumer confidence. We've taken action to meet the more pronounced value expectations of consumers this season with a well-balanced assortment and promotional cadence. Delivering on holiday is our highest near-term priority, and our Grow Brand Love strategy continues to set the stage for sustainable long-term growth. Summarizing my key takeaways today, first, we delivered our third consecutive quarter of positive same-store sales and grew adjusted operating income double Q3 of last year. Second, our efforts to expand merchandise margin are delivering meaningful and sustainable results that have worked to drive operating margin expansion and offset pressure from tariffs and commodity pricing. Third, we believe we are well-positioned for the holiday season with a focused assortment aligned to key categories and price points, and supported by a modernized marketing approach. With that, I'd like to turn it over to Joan.
Joan Hilson: Thanks, J.K., and good morning, everyone. Revenue for the quarter was approximately $1.4 billion with comp growth up 3% to last year. This reflects the expansion of average unit retail of 7%. Unit performance improved sequentially, while still down to last year, driven by a better performance at Banter and Zales. Fashion AUR grew 8% largely on assortment mix to LGD fashion, which carries a higher AUR, as well as higher gold prices. Bridal AUR grew 6% in the quarter, reflecting a growing mix of LGD wedding and anniversary bands which also carries a higher AUR than other bands. Importantly, services grew high single digits in the quarter, with nearly five consecutive years of positive comps. We saw growth in extended service agreements or ESAs which saw attachment rates up over 1.5 points in the quarter. This reflects higher attachment online for bridal and higher in-store attachment in fashion. Moving on to gross margin. We delivered a rate expansion of 130 basis points to last year. This was led by merchandise margin expansion of 80 basis points, which J.K. detailed a moment ago. We also delivered 30 basis points of occupancy leverage reflecting the efficiency within our operating model to expand margins on a slightly positive comp. Lastly, we drove a 20 basis point improvement from distribution efficiencies, taking advantage of higher gold prices by accelerating scrap recovery, as well as better shrink performance. The SG&A rate for the quarter was nearly flat despite a 70 basis point impact from higher incentive compensation. Excluding the incentive compensation, SG&A improvement reflects more efficient marketing spend and store labor planning as well as favorability in transaction fee costs. Adjusted operating income was $32 million for the quarter. This result is ahead of our guidance equally on higher sales and operating efficiencies across gross margin and SG&A. The combination of our capital allocation strategy, further tariff mitigation efforts, the improvements in our operating model, and the focus on the three largest brands led to a more than 2.5 times increase in adjusted EPS. Turning to real estate. The work to refresh stores this year is already delivering mid-single-digit sales lift to stores recently renovated at Kay, Jared, and Zales. Additionally, early results from the repositioning of Kay Stores are also showing positive traction, pacing towards just over a two-year payback as we continue to relocate high-performing doors away from declining venues to better locations in otherwise strong markets. Now turning to the balance sheet. Inventory ended the quarter at $2.1 billion, down 1% to last year despite a nearly 50% increase in gold costs and higher tariffs. Cash ended the quarter at $235 million with total liquidity of approximately $1.4 billion with an undrawn ABL. Free cash flow improved by more than $100 million for the quarter and by more than $150 million year to date, from timing of receipts that will shift payment to the fourth quarter and inventory discipline. We repurchased approximately $28 million or roughly 300,000 shares in the quarter, bringing our year-to-date repurchases to nearly $180 million or 2.8 million shares, which represents more than 6% of diluted shares outstanding. Our remaining repurchase authorization is approximately $545 million. Turning to guidance. We are modestly updating our expectations. This includes raising the low end of our full-year guide to reflect our beat in the third quarter, further tariff mitigation efforts, and a measured outlook for the fourth quarter. This measured outlook reflects external disruptions since late October and potential continued softness in consumer confidence. We believe it prudent to have a cautious approach to guidance given we've seen softer traffic in the past five weeks, particularly among brands with more exposure to lower to middle-income households. We are raising our full-year same-store sales low guide to down 0.2% and maintaining our high guide of plus 1.75% and introducing a fourth-quarter same-store sales range of plus 0.5% to down 5%. With just over 70% of the quarter to go, we're well within that range. Our guidance assumes merchandise margin rate to be roughly flat to a slight increase in the quarter, providing some flexibility for the current macro environment. We are raising our full-year adjusted operating income low guide by $20 million to $465 million and maintaining our high guide of $515 million. This translates to an increased adjusted EPS range of $8.43 to $9.59 per diluted share inclusive of share repurchases to date. Lastly, we're introducing a fourth-quarter range of $277 million to $327 million of adjusted operating income. We also continue to expect $145 to $160 million in capital expenditures for the year inclusive of pulling forward real estate spend to take advantage of the strong returns we've seen today. Before we turn to Q&A, I'd like to thank the team for your dedication, resilience, and focus this year. I wish a happy and healthy holiday season to you and to your families. Operator, let's now go to questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. You will hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press star followed by the two. If you are using a speakerphone, please lift the handset before pressing any keys. One moment please for your first question.
Paul Lejuez: Your first question comes from Paul Lejuez with Citi. Your line is now open. Curious if you could talk about what you've seen quarter to date and specifically over the Thanksgiving weekend, how that might have informed your comp guidance for 4Q? And if maybe you could just dig in a little bit more about the external disruptions since late October that you referenced. Just wanted to understand what you were referring to, if that was a traffic comment that you just made or if it was something else. Thanks.
J.K. Symancyk: Yeah, Paul. Thanks for the question. You know, I think we've been pretty cautious as it relates to Q4, all year long. And I you know, our guide, we're maintaining a little bit of softness at the November, which, you know, obviously, you've seen everything from confidence surveys to issues with government shutdown snap. You know, our consumers are dealing with a lot. And what we saw, you know, quarter to date is really, you know, seeing that play out a little bit, most notably in the brands that have a greater density of lower and middle-income customers. Outside of the US, consistent trends in those brands of ours that have exposure to high-income customers. We're still seeing, you know, spends be consistent. And so while we've watched, you know, moderation of that and really believe that you know, the holiday is gonna happen per normal and that you know, we've got confidence in our plan moving forward. We also didn't feel like that you know, that prudence around Q4 was wrong. We've been pretty consistent in that guide all year, and I think this is a reflection of that. As far as the weekend, you know, we don't I don't know. What I've learned is I've looked through our data and seen play out is, first of all, Black Friday to Cyber Monday is just not as big of an impact on our quarter. You know, if you look at the month of November, it's 25% of our total quarter. So for us, December is a whole lot more important, and you know, good Black Friday, bad Black Friday in between really has very little bearing on our results. Our overall performance is so much more tied to those ten days leading into Christmas when you look at the volume, those days are more important than the whole month that we just finished. I think we've seen fairly consistent results quarter to date, you know, from all the way through Black Friday. So no big change there and no call for pessimism, but I think we're right to be, you know, guarded. And I do think we've got a customer that is gonna be more intently focused on value as they come through the holiday and our guide is and our actions are really focused on that.
Joan Hilson: The only thing that I would add to that, J.K., Go ahead, Joan. Sorry. Well, I was gonna add that the guide that we've given and what we said in our prepared remarks is that we believe we're well within the top line guide for the fourth quarter, which is important. And to J.K.'s point, we have 70% of the quarter ahead of us. And, so at this position, we believe it's prudent to be conservatively positioned and provide for variability in consumer spending.
Paul Lejuez: Got it. And then I guess just to follow-up on the ten days leading up to Christmas, obviously, I think you kinda had a miss there last year. So was it your expectation that once we get to that point that you would see an acceleration in sales as we move to that period within the quarter?
J.K. Symancyk: No. We think we're well-positioned for it. I mean, I would say we you know, if you recall, the opportunity that we had last year was we really were under-inventoried relative to the sub $500 and sub $1,000 price points, particularly in the fashion side and, you know, depending on what bucket you're looking at and what brand you're looking at, we've got anywhere from five to eight times the inventory there. Well-positioned on trend. Same investment, particularly in LGD fashion. At those lower price points that have been driving improvement all year, and we're really ready for the business and I think have the right promotional cadence set up to be able to support what's gonna resonate with customers. So we're certainly building towards that, and I think we're positioned to be able to deliver value to customers during that time period, which also should represent an opportunity for us to drive performance. Different than last year.
Paul Lejuez: Got it. Thank you. Good luck.
J.K. Symancyk: Yeah. Thanks, Paul. Appreciate the question.
Operator: Your next question comes from Lorraine Hutchinson with Bank of America. Your line is now open.
Lorraine Hutchinson: Thank you. Good morning. So last quarter, you spoke to the low end of guidance. The India tariffs remained. What were the key mitigating factors that had the biggest impact to allow you to raise that low end today?
J.K. Symancyk: Yeah. I appreciate the question, Lorraine, and maybe more importantly, appreciate the work our team has done to deliver that. You know, we've never fully dimensionalized a number as it relates to tariffs in part because it moved around a lot. You know, I think one of our challenges has always been if I gave you a number on Tuesday, on Wednesday, it might look a little bit different just based off of the volatility there. And even though we haven't seen the India tariffs pull back, you know, we through a combination of a number of things. A lot of moves as it relates to country of origin to really partner with our supplier. When I talk about our teams, I'm not just talking about our merchants and supply chain folks who've worked hard, but upstream, our supplier partners have really been nimble and, you know, we've moved some production to the US. We've moved some production to other countries. We've found ways to build efficiency in the supply chain. You know, in this environment, given the commodities, there is a little bit of price that has moved through, and I think we've been able to mitigate that and mute it, to try to protect value for our customers along the way. And, you know, given what our team has worked through, particularly over the last couple of months, not only does that position us well for the holiday, but, ultimately, these are the same levers that we will use to drive the businesses next year. But I love the asked question because I think it really does point to the fact that, despite this disruption and moving from effectively a low of 5% tariff to north of 50% tariff in India, our team's been able to do that, grow the business, and actually raise the bottom side of guide and take that downside off of the table. Which I just think is great work across our business. And, you know, also puts us in a position of strength as we're moving into this next year.
Lorraine Hutchinson: Thanks. And then can we just talk a little bit more about pricing? With gold prices and tariffs, it sounds like you are pulling the pricing lever a little bit. How do you tread carefully enough, given that you're seeing that pressure at the low-income consumer? I guess, how do you balance the need to offset some of these cost pressures with the consumer struggles that you're seeing?
J.K. Symancyk: Yeah. Thank you. I think that's the art and science of running a retail business right now. And for us, you know, I'll break it into two parts. Gold as a straight commodity is and when you think about that, think about, you know, more gold forward pieces, or things like gold chain, for example. That are all about gold. I think historically, we've seen that customers understand that's a commodity market. They understand the value associated with it. And as we pass along the fluctuations of price that are purely commodity-driven, we generally see customers recognize that value, and, you know, we're obviously tethered to a market and look to leverage our scale and strength of supply chain to make sure that we're offering the right value proposition relative to the rest of the market. I think our team does that well, and, historically, every time we see what we think may be a ceiling, we recognize the consumer understands that commodity price and tends to be resilient because of the residual value of what they're buying. And so we may see a little bit of a drop-off in units in gold as a result of some of those price increases. But from a that plays out across the market and we know how to navigate that pretty well. In the case of tariffs and or other the other side of that coin, that's where it really becomes important for us to think about design, all of the elements of a piece of jewelry and how do we leverage design and our supply chain and supplier partner base, to really drive sharp adherence to some of these key price points. And I think that is more important this time of year than ever, you know, if I look at a business like Kay, for example, sub $500, we're significantly higher in inventory of positioning than where we were last year because we know that's going to be critically important to that customer. That customer will understand those key price points whether it's that item that I buy for $199 or $299 or $500, and we work hard to engineer product that still delivers value proposition and carries that emotional value, but can stay within the price point ranges that make sense for the holiday.
Lorraine Hutchinson: Thank you.
Operator: Your next question comes from Randy Konik with Jefferies. Your line is now open.
Randy Konik: Great. Thanks a lot. I guess, Joan, maybe what would be helpful is to kinda hindsight fourth quarter last year and maybe give us a little bit more color on if not quantitatively, more qualitatively, how the quarter played out and kind of how you think about that as it pertains to fourth quarter this year. I think you said that the days, fourteen days, whatever it was before Christmas last year were pretty difficult. Providing opportunity just be helpful to kinda get some perspective on you know, how everything kinda played out last year to give people some perspective how things should you know, maybe play out this year. And then as a follow-up to that, commentary, maybe J.K. can give us some perspective of what you're kind of constructing teams to do you know, to execute, you know, the holiday season to make it a success. You've done a good job or done work around marketing and merchandising. Just kind of just give us your thoughts on what your is instructing everyone to kinda get done over the next you know, thirty to sixty days. Thanks, guys.
Joan Hilson: So, thanks, Randy. With respect to last year, I mean, it was clear that we had assortment gaps in key gift-giving price points, particularly under a thousand and even more so under 500. And we did not have the lab-grown penetration in fashion that, particularly in fashion somewhat in bridal, but we didn't have that last year. This year, lab diamonds are roughly 40% of our bridal business. And they're up to 15% double last year in our lab-grown fashion business. So we've closed that gap and really responded to what the customer was asking for last year that we didn't have. And we've now bridged that gap. So we feel strongly about the assortment architecture that we've been able to put forward. Importantly, Randy, the next step of that is we need to be in-depth position and key price points in key styles. The team has worked very diligently to ensure that as we progress through the holiday selling period and we approach the last ten days before Christmas, which we know is critically important, we're in stock in the key items that the customer is responding to. One of the things that we're seeing that gives us confidence is that our conversion, from quarter to quarter has been relatively consistent. So we believe as we get closer to the holiday selling period, we're seeing strength in our traffic and brick and mortar, stronger, will bode well for us. On top of the conversion metric that has remained relatively consistent. So that speaks to for us, the strength of our assortment in closing that gap. We also have fortified post-holiday selling. As you recall, we lead up to Valentine's Day in the month of January. It's not as big of a holiday for us, but it's an important holiday for us. And we've ensured that we are in stock and have receipts flow, you know, post the holiday selling season, which will bode well for the first quarter of next year.
J.K. Symancyk: I think as far as the next thirty to sixty days, I mean, Joan touched on it. December is a critically important month, and, you know, it is particularly important because that's when customers that shop our category really do come more into the mindset of making a purchase. And, you know, we're a great last-minute option whether that's because people save for it or because it's a simple solution at the end. I think it's incumbent on us to make sure that we make that as frictionless for customers as possible. And, you know, I think if anything, you know, this category can be a little bit intimidating to customers. And, you know, at a time period where I think there's a little bit more going on, a little bit more uncertainty, and our lives leading up to the holiday as consumers. The more we can simplify and focus our message, for them, I think the better off we are. And to Joan's point, that really does mean honing in on simple value propositions, trying to really streamline promotions so that it's less complex and we're much more straightforward with customers around what the value proposition is. I think that's a risk. And, you know, one of the things we've learned as we've looked at the consumer response this month is simpler is better. And so the more we can simplify that, and be straightforward, the better off we are. And then, you know, from an operational standpoint, it is about making sure we've got inventory in the right place that we maintain depth, and in particular, have product available not only for shipment online, particularly in the first half of the month, but as we move towards the end of the month, it's about having product available in-store, so that we can focus on the biggest opportunity we have, which is conversion. You know, what we're overseeing is some modest improvements in conversion. So if we and that was really that was the opportunity last year. You know, if we're really honest about, you know, our shortfall, particularly in those ten days, it was not a traffic opportunity for us. It was a conversion opportunity. There was a very clear message from customers that we were not as good at delivering the merchandise that they needed to solve that, you know, the gift that they were looking for. We're much better positioned today to do that. I think you see that playing out in our Q3 results when you look at strength across all categories. And so, now it really is about making sure that we get that message in front of people simply where we're executing, tightly and have that inventory we've invested in available at the point of purchase. And then ultimately, we're doing what we can from an operational standpoint within all the brands. To convert and, you know, get them on their way to celebrate in the holiday with loved ones.
Randy Konik: Great. And then when you think about the bridal category versus the fashion category, just as an industry, how do you think how do you feel about those two different sectors? And then when you think about architecting the business over the next twelve to twenty-four months, are you thinking about changing, you know, the balance between bridal and fashion at all? Any changes you're contemplating, thoughts on the portfolio? You keep talking to a distortion of capital towards the mega brands of Kay's, Zales, and Jared. Just kinda curious on how you're thinking about the next twelve to twenty-four months of kinda moving things around the chessboard.
J.K. Symancyk: Yeah. It's a great question. I'll answer part of it probably push part of it till after the holiday because the last thing I wanna do is introduce a lot of hypotheticals to our team as we should be really focused on closing with customers and really delivering the holiday. You know, to your point, we love the balance of the two, honestly. And, you know, given the share we have in bridal, we wanna maintain that dominance, but we recognize that it is harder to gain outsized growth there because we do set a position of dominance. We certainly don't wanna see that. We love that balance within our business. We love, you know, being there for customers at that important point in their life, and we're gonna continue to be dominant in bridal across the business. No question about that. We talk a lot about fashion just because it's underdeveloped relative to our business, and that's where the opportunity for outsized growth is. So mathematically, you know, that may change the mix over time. It isn't about a pivot away from fashion. It's absolutely about a pivot or, excuse me, a pivot away from bridal. It's more about a pivot into the opportunity that fashion presents for our business and the overall lift that that can provide to the total portfolio. And I think the work we're doing to further delineate and position our brands to be in that regard gives us degrees of freedom to lean a little more heavily in some brands into fashion and also stay a little more staunchly in the bridal-focused area for other brands. As far as the portfolio is concerned and capital, I think once we get through the holidays, it's a great time for us to talk about some of the other strategic opportunities that we have. We've alluded to a few of them and I think, given as we've said all along with some of the other noncore brand decisions, once we get through Q4, we'll be in a position to lay out, you know, thoughts. But I think the focus we've had on our core brands to really reignite growth across our business is what gives us not only confidence but the degrees of freedom to really think a little more aggressively around how we deploy capital strategically across the business to continue to generate growth.
Randy Konik: Super helpful. Thanks, guys.
J.K. Symancyk: Thanks, Randy. Appreciate it. Happy holidays.
Operator: Your next question comes from Ike Boruchow with Wells Fargo. Your line is now open.
Ike Boruchow: Hey. Good morning, everyone. Two for me. The first question is really just about promo. Maybe J.K. or Joan, could you talk about the Black Friday week? What your strategies were? Did you deviate from those at all? And then kinda how does promo play into the comment the cautious commentary? So, you know, understanding the comp guide, just kinda curious how your markdown strategy is planned for the holiday today.
Joan Hilson: So over the weekend, the Cyber five, we stayed on plan. We were in terms of our promotional strategy, we were pleased with how we, you know, were able to lean out some discount in the appropriate places within our business and really believe that that strategy served us well, particularly from a margin perspective. As we head into the holiday selling season, I would say that we are into peak selling. We have a plan that gives us flexibility. You know, I noted that our guides for the fourth quarter give us some variability in consumer spending. And, I believe, and we believe, as a team that that's a prudent measure just as we navigate our way through the next 70% bit of business in our quarter. So, it's important that we retain that the discounting, as we think about it, one of the things from earlier is our assortment architecture that we've created for the fourth quarter gives us those price point buckets, Ike, that really allow us to serve customers at different levels under $1,000 and it provides for the variability in consumer household incomes. That our portfolio spans in terms of the mid-market. So our strategy allows for that not only in promotion but in assortment architecture. We believe that's just as important. We have a nice assortment in what we would consider wild price points in, with depth in those styles that can serve customers under $1,000 and under $100. So it's really about understanding the customer for each of the brands.
Ike Boruchow: Got it. And then within that, could you maybe for 4Q specifically, the gross margin plan and could you kind of intertwine your promo plan along with whatever the tariff headwind is. Like, basically, you stack the puts and takes for April gross margin that's embedded in the EBIT guide.
Joan Hilson: Uh-huh. So for the fourth quarter, our GMM rate our gross merchandise margin rate, considers flat to a slightly up view and that's what's giving us the flexibility that we may need. Depending on those consumer spending patterns. You'll recall, like, leading into the third quarter, we had an expansion of 50 basis points. And again, you heard our results this quarter were very good in terms of margin expansion. Some of that came from pricing. And a large part of it also came from architecture. Within the assortment. So we're continuing through that, but giving ourselves that pricing flexibility. So that's the overall view of the GMM. As you know, and we've said in the past that our gross margin, we're able to leverage gross margin on a slightly positive comp. And so that considers just some of the work that we've been doing in our operating model efficiency within our distribution centers. We actually took advantage of and will continue to do so in the fourth quarter. We took advantage of the gold pricing and accelerated some planned scrap recovery, that we typically do in our business, but we accelerated it to take advantage of the pricing. So we're taking all of those measures, in hand and bringing those forward into the fourth quarter as well.
Ike Boruchow: Just so I'm clear. So the merch margin flat to up, but the comp is negative with gross margin be down due to deleverage on fixed costs? Within COGS?
Joan Hilson: Yes. That's accurate.
Ike Boruchow: Alright. Thanks, guys.
Operator: Your next question comes from Dana Telsey with Telsey Group. Your line is now open.
Dana Telsey: Hi. Good morning, everyone. Nice to see the progress. I think you had mentioned about some of the smaller banners like James Allen or Banter. So second half of the year, a guide towards the 60 to 90 basis point margin drag. Is that still in place? Or has anything changed there? And two other things, given the upcoming holiday season and the opportunity for this year, what is the percentage of newness that you're thinking about in the assortment whether for bridal or fashion? For this fourth quarter. And Joan, any updates on the real estate optimization plans? Thank you.
Joan Hilson: So I'll start with James Allen. Right our guide would assume that we are it would negatively impact comps by 120 basis points. It's been relatively consistent. Throughout the back half. We've seen some slight improvement in certain periods of time, but overall, that's the negative impact that we would see on overall comp in the we saw it in this quarter, and we would expect the same in the fourth quarter. With respect to newness, we target roughly 30%, Dana. The most important part of that is what is the content of the newness and the depth in styles. And so in the past, we may as we saw last year, we had a breadth of assortment, but weren't deep enough in styles that were resonating with the customers. So while the percentage is important, it's the content and depth of the key item that's most important. And then the real estate update, I mentioned it in my prepared remarks, but we're very pleased with the results in our refresh program. And, you know, it's up mid-single-digit comps from the brands that we've refreshed and largely are our largest brands. And the renovations have been particularly strong for us just over a two-year payback. And you can really see the results of that within our Jared business. The team has done a terrific job in bringing to the customer a more modern view of that brand and upscale the interior to meet the product assortment that has been leveled up from an offering perspective but, obviously, while maintaining the right assortment architecture to cover a wide range of price points. So really, pleased with that. We still intend to close up to 100 stores this year. Over the next two years, we think it's roughly one hundred stores. Several of those, Dana, are in Banter, which are in declining malls, and we'll understand if there's a reposition strategy for those locations. Banter is a highly productive brand for us, and it has a strong store four-wall contribution. And so we'll really evaluate where that future might be in terms of newer locations for that brand.
Dana Telsey: Thank you.
Operator: Your next question comes from Jeff Lick with Stephens. Your line is now open.
Jeff Lick: Good morning. Thank you for taking my question. Yeah. I was wondering if you could maybe unpack a little bit more. You know, I think those must have been following the story. You know, we've all looked at Q4 as this kind of this battle between the consumer versus the improvements you're making. You know, if I use last year's EBITDA of, you know, $3.94 and then the high end of your EBITDA this year at $3.74, you know, it kind of implies that almost no matter what the consumer element is a bigger factor than, you know, the improvements that you're making. It kinda seems like you know, your improvements are, you know, whether it's the fashion or just, you know, the lab and diamonds of, you know, could you maybe just unpack Are we is that how it should be read, or is it, you know, is it possible that you know, things could come in much better? Because it you know, from the get-go, it seems like the consumer element seems to be a much bigger factor than the know, what was thought to be pretty sizable improvements. Potential for Q4 this year.
J.K. Symancyk: Yeah, Jeff. Maybe Joan and I can tag team this one. I think there's two things to unpack there. You know, as far as any sort of guardedness on Q4, you know, I do think from day one, you know, of this year, we have despite the opportunity for improvement and top line for four. We've been a little bit guarded just knowing that some of the consumer uncertainty, what that may mean to the competitive landscape. We wanna retain the flexibility to be responsive in the market to their needs, as well as some of the curveballs as it relates to cost, not on the commodity side, but especially with tariffs. Those have all been considerations and, you know, led to what has been actually a pretty consistent guide for Q4 from day one. When you're looking at EBIT for that quarter, incentive comp's pretty big factor when you start thinking about, you know, the reload of incentive comp and how that plays out. And so it's you know, you've got a little bit of apples and oranges that may be going into the comparison there, but listen. I think this is an environment where you know, we also wanna retain the ability to be responsive to the consumer at a time period where they have been dealing with a lot. And we feel like, you know, maintaining that flexibility to continue to drive momentum is really important for us. And I think our guide reflects that. And so I don't know. Joan, if there's anything you wanna add to it, but that's if I were trying to summarize or give you a synopsis of maybe how to square up those two parts of the story, that's the intersection that makes sense to me.
Joan Hilson: The only thing I'd add is that, you know, our Q3 momentum, we feel the business has momentum, has We are seeing a stronger, We're seeing a slight increase in conversion rate, which to us speaks to the architecture and the assortment that we're bringing forward. We are able to reset some of the with respect to tariffs, we've been able to offset those while driving in this the assortment architecture that continues to aid us in merchandise margins. So that's positive, Jeff. And then I think some deleverage on fixed costs that the lower the lower end of our guide is part of that. But to J.K.'s point, in almost at the high, we expect a deleverage in SG&A. But it's entirely, you know, related to the incentive comp reset. Much of what we saw in the third quarter. And at the low end of the guide, it's really to a lesser degree, incentive comp, but also that fixed cost to leverage. So we like the assortment. We like the position. And just responding to what might happen at the range of our guide.
Jeff Lick: Oh, yeah. Don't misunderstand the question. I think it's prudent to give the guidance that you gave. We're just trying to, you know, handicap those two kind of opposing forces. One quick question on the Indian tariffs. Is there any chance you can give us a sense of the dollar amount if what's say tariffs were to go back to, say, 25%, 20%, which is kind of what the other countries are getting, you know, how much of a eventual obviously, it won't be instant because of way inventory turns. But how much of a get back? Or how much dollars have you absorbed or could you get back?
J.K. Symancyk: That's a what should be a simple question, but is actually much harder. Only because, you know, in some cases, we made decisions around relocating to different country of origin or even potentially changing design and what we would buy to maintain not just assortment architecture, but margin architecture and some of those things. So it's I would say the, you know, the gosh. It's because we haven't dimensionalized a headwind, I can't, you know, I can't as easily articulate what the giveback may be. I would say, you know, the plus of that pullback would be, you know, the range of product and the predictability of supply chain relative to really being able to into top line driving performance is greatly aided by a reduction in tariffs. I think one of the challenges that many retailers, not just us or know, facing as it relates to the timing of some of the tariff announcements is literally running out of runway relative to Q4 and having to make decisions on what do you pass on, what do you absorb, what do you not do that maybe you would have considered before? And so, above all, I mean, listen. I think our team has done an exceptional job of navigating that uncertainty and positioning us to be there for the consumer, not just for Q4, but delivering this performance throughout the year. And honestly, some of what we've had to develop in terms of nimbleness and responsiveness within the supply chain, that's gonna carry a benefit for us moving forward. I mean, the better we are at controlling our inventory and really mastering all of the input costs that come along supply chain for a scale player like us gives us a competitive advantage. And so, you know, in the classic sense of that which does not kill you makes you stronger. Like, this is one of those things that you know, we're finding the blessing in it and, you know, gonna leverage that to our benefit moving forward. But that uncertainty and the short runway leading up to Q4 certainly hamstrings some of the degrees of freedom relative to assortment planning and, you know, would only benefit from stability, particularly if that stability comes with a more moderate tariff than what we've been dealing with. And so I know I didn't answer your question relative to dollar amount. It's hard we never gave you a dollar amount on the front side, but I at least wanna convey to you that we're thoughtful around what levers there are for us to pull that can be accretive to the business, you know, ultimately, when we land at a little more normalized state relative to the tariff environment.
Jeff Lick: So I guess to close that in a as a from a qualitative basis, the only thing in the tariff landscape that changes next year is that the Indian tariffs go down obviously, because the other tariffs seem to be a little more set at this point. So you can kinda have an idea of the landscape, but if the Indian tariffs go down, all things being equal, that's gonna be a positive for 2027 and beyond.
J.K. Symancyk: Yeah. It should. I mean, I think inherently, you know, quantifying the overall, you know, dollar impact I think it's a little bit harder thing to do. But absolutely, that gives you more opportunity to play offense.
Jeff Lick: Awesome. Well, best of luck with the fourth quarter and look forward to catching up soon.
J.K. Symancyk: Thanks, Jeff.
Operator: Your next question comes from Mauricio Serna with UBS. Your line is now open.
Mauricio Serna: Greg, good morning. Thanks for taking my questions. Just point of clarification on the Q4 guidance. You know, when you said that you know, you are within well within the range, does that mean you are the top end, you know, midpoint? I'm just trying to understand that part of the guidance. And then also on Q4, thinking about the promotion environment, can you talk about what you've seen so far in terms of, like, you know, in the industry level, what you've seen in promotions, and do you expect that to maybe year over year be more intense, be in line, just any thoughts on what what you're thinking about the promotional environment will be great. Thank you so much.
Joan Hilson: So we articulated that we are well within the range of our top line guidance, Mauricio. And the reason that we can, you know, position ourselves with that statement is that historically, when you think about the fact that the Black Friday weekend is a very small piece of the overall quarter and that from the run rate of the November, month to date into, the holiday selling period even last year as well with some of the assortment gaps that we've had, we see run rate historically from November to December as historical, and we've seen over the last several years. So it's really it's more pertinent to think about the overall guide and understanding the variability in the range. Just giving us, you know, a range of outcome that gets flexibility, for some of the pricing actions. Particularly with EBIT. So, without being specific, we feel that our business has momentum. And as we look into December based on our assortment, we are cautiously optimistic about the outcome.
J.K. Symancyk: I think as far as promotion is concerned, you know, I just think in this kind of consumer environment, it's wise for us to be prepared for it. You know, we've seen a little bit more promotional response, I think, you know, with some of the consumer confidence questions that have emerged in November. And I think we're well-positioned to be able to deliver on the right value proposition as we get into real crunch time for our business. So, nothing exceptional that I would quantify at this point, Mauricio, but I think anytime you've got a consumer that's dealing with uncertainty, it's wise for us to plan for it and to remain flexible to be responsive so that we can drive top line during a really important time of year.
Mauricio Serna: Thank you so much, and good luck on Q4.
J.K. Symancyk: Yeah. Thanks, Mauricio.
Operator: Your next question comes from Jim Sanderson with Northcoast Research. Your line is now open.
Jim Sanderson: Hey, thanks for the question and congratulations on a great third quarter. Wanted to dig in a little bit more to the fourth quarter guidance, the lower range, the negative 5%. Given the strength you've had in average unit revenues to date, what would it take with respect to average unit volume declines to get to that negative 5% in fourth quarter, both in bridal and in fashion? Just trying to get a sense of where the greatest risk or weakness can emerge for the fourth quarter.
Joan Hilson: I'll take that, Jim. With respect to the low end of our guide, bridal units would be down roughly mid-single digit. And which would also fashion units would also be down, you know, similarly. So that's the view of units. We feel that even at the high end of the guide, bridal can be down low single digit in Q4 and achieve our guidance. And so we feel very good about the performance that we're seeing in bridal, particularly in our large brands. We're seeing a high single-digit comp in bridal in Kay, Zales, and Peoples. Is not one of the larger brands, but, you know, it's doing quite nicely. So feel good about the positioning of where the guidance is positioned relative to bridal and to fashion.
Jim Sanderson: Alright. So but to make sure I understand it, even at the higher end, you would expect units to be down let's say, low single digits for the bridal category. That's the kind of right way to look at it?
Joan Hilson: Yes.
Jim Sanderson: Okay. Understood. And just a question on the promotional environment. Are you satisfied with your price position, promotional price position relative to peers as you entered into the December holiday season?
J.K. Symancyk: Yeah. It's a great question. We are, but I would also tell you this is a time period where as people adjust, we also scrape the market and make sure that we're really well-positioned. I think the dynamic nature of this environment and just given the not only what we've talked about relative to consumer, but just the compression that happens between now and the holiday. I think we were focused on staying vigilant. And particularly when everybody is dealing with some input cost changes. I think that, you know, that creates a little more focus certainly on our part to make sure that, you know, in these commodity-based categories or in any of the key price point offerings that we really maintain the kind of competitive positioning that makes sense. And so, you know, I think we balanced that really nicely over the course of the year being less promotional, you know, more broadly, focusing promotion where it makes sense, but also not being gratuitous and eroding brand equity in the process. And I think the other benefit of that is it enables us to really focus our value messaging to customers in a stronger way. We obviously watch the landscape and wanna make sure we're maintaining that momentum as we go into such a critical time period, also not losing the progress that we've made relative to some of the discipline around pricing architecture. That's paying dividends for us. So that's where we're focused. I think, you know, more than not, we feel like we're in the right position, and when or if we have found any categories or subcategories within a brand where we don't like, then we've got the flexibility to also remix and manage it accordingly. So we're delivering the right value.
Jim Sanderson: Alright. Thank you very much.
J.K. Symancyk: Yeah. Thank you for the question, Jim.
Operator: There are no further questions at this time. I will now turn the call over to J.K. Symancyk for closing remarks.
J.K. Symancyk: Okay. Thank you, everyone, for joining us today and for your interest in our business. We are fully focused on the critical holiday selling period, and we're confident in our strategy and our team's commitment to deliver results. However, you celebrate, I wanna wish everyone, our employees, partners, shareholders, all of you a holiday season full of joy, peace, and of course, love. Look forward to speaking with you next quarter. Goodbye.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.